Operator: Good day, ladies and gentlemen, and welcome to the NRG Energy, Inc’s. First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today’s conference, Kevin Cole, Head of Investor Relations. Please go ahead.
Kevin Cole: Thank you, Danielle. Good morning, and welcome to NRG Energy’s first quarter 2019 earnings call. This morning’s call will be 45 minutes in length and is being broadcast live over the phone and via webcast, which can be located in the Investors section of our website at www.nrg.com under Presentations & Webcasts. Please note that today’s discussion may contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. We urge everyone to review the Safe Harbor in today’s presentation as well as the risk factors in our SEC filings. We undertake no obligation to update these statements as a result of future events except as required by law. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today’s presentation. And with that, I’ll now turn the call over to Mauricio Gutierrez, NRG’s President and CEO.
Mauricio Gutierrez: Thank you, Kevin. Good morning, everyone, and thank you for your interest in NRG. I’m joined this morning by Kirk Andrews, our Chief Financial Officer. Also on the call and available for questions, we have Elizabeth Killinger, Head of our Retail Mass Business; and Chris Moser, Head of Operations. I’d like to start the call by highlighting the key messages for the first quarter on Slide 3. First, our business performed well during the quarter and in line with expectations, demonstrating the value of our integrated platform. We’re also reaffirming our 2019 guidance ranges. Second, our integrated business is well-positioned for summer operations and the fundamentals in our core markets are getting stronger. Finally, we are on track to achieve our 2019 capital allocation goals, complete our current $1 billion share repurchase program, achieve our new credit metrics by year-end and provide you clarity on the remaining $872 million of excess cash by the third quarter earnings call. Moving to Slide 4, I want to review the financial and operational results for the quarter. We achieved top quartile safety performance and delivered $333 million of adjusted EBITDA. On the right-hand side of the slide, we have provided our EBITDA on a same-store basis, due to the changes we’ve had in our generation portfolio, either through asset divestitures, retirements or deconsolidations. Our EBITDA increased by 15% from the same period last year, driven primarily by cost savings, higher realized power prices, partially offset by increases in retail supply costs. It is important to note that the distribution of our earnings has also changed with the third quarter now responsible for a larger percentage of earnings. Recognizing all of these changes, Kirk will provide additional details on the quarterly results in his section. We continue to make progress on our cost savings and margin enhancement targets. I’m pleased to report that during the first quarter, we achieved $20 million of margin enhancement and that all transformation plan targets remain on track. We also completed $500 million of our current $1 billion share buyback program during the quarter, repurchasing over 4% of our market cap at an average price of $42.21 per share. We remain committed to returning capital to shareholders and plan to complete the remainder of the current $1 billion share repurchase program in 2019. Finally, we are getting ready for summer operations with an expanded spring outage program on our generation fleet and the activation of our summer readiness program across the company. These measures are taken to ensure NRG is able to provide safe and reliable performance during the summer months. Now turning to our market update on Slide 5. Starting with ERCOT, the supply demand balance remains the tightest it has ever been, following some plant retirements and sustained low growth. The chart in the upper left, which we first introduced on the fourth quarter call, shows how future reserve margins are dependent on new builds, particularly wind and solar. A closer look at this new capacity for 2020 and 2021 is in the table below. It highlights the lack of viable new builds necessary to keep pace with ERCOT’s 2% annual demand growth. We see limited wind developed, given transmission constraints and a few large gas projects remaining in the CDR have already been delayed by an average of four years. We do, however, expect the majority of solar to be completed as purchased power agreements are executed, but remain skeptical of significant merchant developments given the economics. Both the PUCT and ERCOT understand the situation and have taken steps to improve the energy-only market to better reflect the scarcity conditions in the system. We believe these changes will have an impact on forward prices, eventually helping justify the long-term investments necessary to increase the reliability of the system in the long run. On the right-side of the slide, we highlight our readiness for this summer and the steps we have taken to further strengthen our integrated portfolio. Starting with Retail. We are proactively educating our residential and business customers and providing them with options and tools to manage higher energy bills. We’re also providing energy conservation alerts and enhanced demand management options. Moving to Generation. As part of our summer readiness program, we are planning to return to service our Gregory plant, which has been offline since the fall of 2016, due to the bankruptcy the esteemed host. This is a 385 megawatt of combined cycle capacity that provides additional reliability to the ERCOT system ahead of the summer. Last, while our platform today is best positioned to provide more predictable results relative to pure retailers or wholesale generators, we continue to take prudent steps to further enhance our ERCOT business. Given our scalable platform and track record of integrating new businesses, the expected higher volatility in the market creates an opportunity to acquire small to medium-sized customers books and platforms to add value. And as I discussed last quarter, our Generation or supply business must grow with retail. We are well underway in executing our PPA strategy to complement our physical assets. This strategy allows us to better serve our customers, improves our position management and it is capital-light. I will provide you a more comprehensive update on the next earnings call. Now moving to the East markets on Slide 6, the focus remains on regulatory changes. Since our fourth quarter call, FERC has directed PJM and NYISO to implement tariff changes for fast start resources. This allows a whole new class of assets to set price. I mean, this is a clear positive for energy price formation in the East. PJM has also announced its intent to run the 2022, 2023 capacity auction in August under the existing market rules. The timeline for FERC action remains uncertain, but we remain confident that FERC will protect the integrity of competitive markets. We continue to view a strong MOPR of the simplest and most effective way to reduce the harmful impact of nuclear subsidies in the market. In ISO New England, a proposal has been put forth that would compensate generators for fuel scarcity. We continue to believe these changes are positive for fuel security reforms overall. However, reform is coming too slowly and the current ISO New England fuel security proposal pending at FERC is insufficient. We look forward to working with the ISO on this matter. Moving to the right-side of the slide, we highlight the strength and diversification of our Northeast portfolio. Our existing portfolio is primarily large capacity and fuel-resilient generation located in key load centers and provides a solid foundation for continued growth of our retail business in the region. While the regulatory activities in the region provide some uncertainty, we’re optimistic about these regulatory outcomes and more importantly, believe our integrated [Technical Difficulty] well-suited to succeeding the region. With that, I’ll turn it over to Kirk for the financial review.
Kirkland Andrews: Thank you, Mauricio. Starting with the summary of financial results you find on Slide 8, consolidated first quarter EBITDA was $333 million, with $153 million from Retail and $180 million from Generation. The bar charts in the center of the slide provide a walk from our first quarter 2018 consolidated EBITDA to this quarter’s results. Starting on the left-side of this chart, we start with first quarter 2018 consolidated adjusted EBITDA of $336 million. Next, in order to arrive in an appropriate basis for comparison to 2019, we eliminate the impact of asset sales, retirements and deconsolidations from our first quarter 2018 results. The total EBITDA impact of these items is $47 million and is comprised of four elements. One, Ivanpah and Agua Caliente, which were fully consolidated in our first quarter 2018 results before circumstances required to change in accounting later in 2018 to equity method; second, BETM, which was included in our first quarter 2018 results, but was sold later in the year; third, the pro forma impact of the Cottonwood lease, which began in early 2019 following the sale of the South Central Portfolio; and finally, EBITDA from the Encina facility, which was retired when the Carlsbad plant was brought online at the end of 2018 and sold to Clearway. Deducting the $47 million impact of these items from first quarter 2018 results provides a baseline for comparison to our reported results for this quarter. From this new baseline, we address the quarter-to-quarter changes starting with three elements related to the Transformation Plan initiatives. First, we incurred $15 million in incremental SG&A expense related to margin enhancement programs, we expect to begin to produce results later in 2019. Next, we realized $20 million in EBITDA from our margin enhancement programs during the first quarter; and third, having delivered $80 million in Transformation Plan cost savings in the first quarter of 2018, we realized $130 million in savings this quarter or an incremental increase in savings of $51 million. Turning to Retail. Non-transformation Plan retail results for the quarter were $58 million lower, primarily due to increased supply cost and more favorable weather in the first quarter of 2018, which were partially offset by EBITDA from the XOOM acquisition. Finally, Generation results for the quarter were $46 million higher, primarily due to higher realized prices during the quarter. Both the higher retail supply costs and higher realized prices in Generation are in part the result of intersegment power sales between Generation and Retail, which are typically based on average annual power prices. As power prices in ERCOT have become increasingly seasonal with lower prices during the shorter periods, such as the first quarter and higher prices during the summer, the resulting annual average price implies a premium to observe pricing in the shoulder periods and a discount to pricing seen in the summer. The annual supply costs for Retail and annual revenues from Generation, which result from these intercompany sales based on average annual prices, will be no different than if those intercompany transactions were executed based on quarterly or seasonal pricing, since these prices form the basis for the annual average price used. As our consolidated results of $333 million for the quarter were in line with our expectations, we’re reaffirming our 2019 guidance ranges. Turning to Slide 9. While our capital allocation plan for 2019 is unchanged from our previous update, we have now completed the first-half of our $1 billion 2019 share buyback program we announced in late February and will continue to repurchase shares to complete the balance of that program. We continue to expect $872 million of yet to be allocated excess capital in 2019, which will become available later this year as we generate the bulk of our free cash flow during the third quarter. We expect to provide an update on the intended use of that excess capital by our third quarter earnings call. Finally, we remain focused on our revised target investment-grade metrics in 2019, as shown on Slide 10, and are on track to achieve those metrics, including using up to $600 million in 2019 capital previously allocated to further reduce balance sheet debt. And with that, I’ll turn it back to you, Mauricio.
Mauricio Gutierrez: Thank you, Kirk. Now turning to Slide 12, a few closing thoughts on our 2019 priorities and expectations. I’m very excited for 2019 with another year of strong execution. Our top priority is to further demonstrate the predictability of our integrated platform, achieve our new investment-grade credit metrics and deploy the nearly $900 million of remaining excess cash adhering to our transparent capital allocation principles. We also remain on track on all of our Transformation Plan targets, particularly as we continue to ramp up our margin enhancement initiatives throughout 2019. Our company today is stronger than it has ever been. And as I look to the summer and beyond, I’m confident our platform is best positioned to deliver predictable results and create significant shareholder value in the long run. So with that, I want to thank you for your interest in NRG. Danielle, we’re now ready to open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Julien Dumoulin-Smith from Bank of America. Your line is now open. Please go ahead.
Julien Dumoulin-Smith: Hey, good morning, team.
Mauricio Gutierrez: Good morning, Julien.
Julien Dumoulin-Smith: Hey, so wanted to follow-up on a couple of quick things if you don’t mind. First, perhaps this is more of a financial detail question, on the allocation question that you just raised across the year. What does that mean for the balance of the year, specifically looking at third quarter more from a year-over-year perspective as you think about it? Should we expect more of a positive impact on 3Q than you would have otherwise expected for the Retail segment specifically this year?
Mauricio Gutierrez: Yes. I mean, if you think about it now with the changes in our portfolio, the distribution of our earnings are now peak year for the summer months. And particularly, with the intersegment, I mean, you’re going to see an average impact of the prices. While prices have increased in Retail, I guess, power prices have increased for the entire year just given the peakiness of the summer, you’re going to see that impact in our results. Kirk?
Kirkland Andrews: Yes, I think, I agree with that on – in isolation. When it comes specifically to the impact of the intercompany transfer, the dynamic that Mauricio described is correct from a standpoint of year-over-year supply cost, specifically related to that transfer. Overall, certainly, as you know, one, the third quarter in – on a consolidated basis is increasingly, as Mauricio said, the strongest contributor by far to our results. And so overall, you may see the overall comparison on Retail and Generation in that quarter overall being similar to the directions that you see on Slide 8 for the first quarter. But within that, going back to what I said in the first place, the supply cost related to the intercompany transfer will have the opposite comparison, as you indicated. But there’s obviously a lot more than just intercompany transfer they contribute to our results. So, we certainly expect Generation to be relatively robust and just the overall EBITDA to be more significant than any other quarter of the year, it is – typically it’s in the third.
Julien Dumoulin-Smith: Yes, absolutely. Following back to more of the fundamental, the core business. Can you provide a little bit more of your thoughts on what the impact of full FRR would be to the Midwest Gen Portfolio. I appreciate that you’ve provided some Reg G segment specific disclosure, but it would be curious on how you think about that in financial impact and potential other plant decisions out in the four years? And then separately, Mauricio, can you elaborate very quickly on your commentary about procurement and renewal procurement, potentially later this year?
Mauricio Gutierrez: Sure. Well, let me start first with the impact of full FRR. And I’m assuming that your question is just specific about Illinois and the impact that it has in our Midwest Generation Portfolio. So, before I turn it over to Chris for additional details, let me just say that, first, you have to put it in context. I don’t think that outcome is a binary outcome, where one looses and the other one wins. We know that our Generation is needed for the common zone to maintain or to meet the expected load. With respect to the FRR, I mean, the states have always have the right to FRR completely if they wanted to. The specifics about how this time around will be done is less clear. There is a lot of a speculation whether certain units can FRR, whether the entire market needs to FRR, there’s a lot of – there are a couple of considerations there. Remember, Illinois has retail choice, so it will be very difficult to FRR the entire region. But regardless of what the path that they take, we feel very comfortable that under the status quo, we are okay. If they decide – if FERC decides to implement some sort of RCO, resource carve-out with repricing, I think, we’re better off. And if they decide to go ahead FRR, we don’t have enough information to assess what the impact would be, but it’s not zero since our units are needed. But with that, Chris, I don’t know if there’s anything else that you want to add.
Chris Moser: No, I would – Julien, this is Chris. I would echo what Mauricio said, which is the details are going to matter and which path FERC ends up taking at Illinois, ends up taking are going to matter. What I will just echo is that, hey, look, in a 25,000 megawatts zone, they still need a big chunk of our units to clear that zone and to cover the load reliably. So I know that we outlined kind of the impact of Midwest Gen, what percent it is of our earnings in earlier calls and/or presentations. And I would say, I would expect that anything – any impact would be a fraction of that.
Mauricio Gutierrez: Yes. I mean, we’ve said that in – approximately, it’s about somewhat 5% of our total EBITDA. So let’s just put it in context what the impact would be. But again, I think the important thing, this is not a binary outcome, a zero-sum game. With respect to your second question about the PPAs, we introduced our capital-light PPA strategy in the last earnings call. That team has made really good progress. We’re in the middle of executing that right now, but we’re not done yet. So where I’m going to be providing you the more specifics around the progress on that strategy by the next earnings call, because as you hope, you can appreciate, we’re in the middle of execution, and I don’t want to impair our ability to get the best value on those – on that strategy.
Julien Dumoulin-Smith: Excellent. Thank you, all.
Mauricio Gutierrez: Thank you.
Operator: Thank you. And our next question comes from Greg Gordon from Evercore ISI. Sir, your line is now open.
Greg Gordon: Hey, thanks. Good morning, guys.
Mauricio Gutierrez: Good morning, Greg.
Greg Gordon: Just looking at the math here on the cost saves, it appears to me and I just wanted to confirm this that you had $532 million achieved in 2018. And the slide deck shows you have $51 million incremental achieved in Q1. So the targets $590 are basically at $583, so that would corroborate your view that you’re pretty much on point on getting to the cost saves, right? Am I reading that correctly?
Kirkland Andrews: Yes. I think, overall, that – that’s a reasonable way to interpret in term – in terms of the uptick. That is the case with respect to certain portions of the cost savings is, they aren’t realized on a levelized basis across the year, because in some of our costs, specifically on the – especially on the O&M side are seasonal in nature. So you’ll see variability in realized cost savings quarter-over-quarter. But going back to your original observation, yes, the incremental increase is a good barometer to see the measure that we are on track towards getting to that $590 run rate in 2019, which is embedded in our guidance.
Greg Gordon: Great. And it’s a little bit difficult to suss out from your slides, where you are on a gross margin basis for the year relative to the target, because you give us now, you’re giving us 2Q 2019 through 4Q 2019 expectation of $1.025 billion on Page 19. But it’s hard to compare that with the original guidance that was given of $1.176 billion in the Q4 deck just because you didn’t give us what you actually achieved in Q1. But is it – it’s fair – is it fair to say that, you haven’t called anything out there, so that you’re still on track to hit that gross margin target?
Kirkland Andrews: Overall to that question is, yes. As I said, the quarterly results of $333 million, as I said, were in line with our expectations. And you’re right, I mean, the realized gross margin, which I think you’ll find we’ll be filing the Q later today with the details around the MD&A with a gross margin is by segment. So that when combined with the outlook over the balance of the year as you cited on 2019, would be the best way to confirm that. But overall, your overarching statement is correct. We are on track and that’s part of why we’re reaffirming the guidance today.
Greg Gordon: Thanks. Last question, and this is a bit of a specular one, so I appreciate it if you delivered it and how you can answer it. If we have a super volatile summer in Texas this year, given that your book is, for the most part balanced, would it be your expectation that that’s sort of a theoretically significant upside opportunity for the company, or do you think that the opportunity to generate significantly higher wholesale margins, but that the retail performance will sort of balance that out, and you might do a little better, but you’re not really a net long in the market, right? Is it your goal to just be able to consistently deliver operating results in all types of market environments with limited volatility rather than sort of position to get a one-time benefit from a volatility event?
Mauricio Gutierrez: Yes. Well that is exactly what I was about to say, Greg. Our goal in rebalancing the portfolio and integrating Generation and Retail is to be able to provide predictable earnings in a number of market conditions. So if there is an extreme scenario in Texas, let me just, I guess, provide a little bit more specificity. All our price load is hedged. So by – when we go into the summer months, you have to know that our retail exposure will be completely hedged. On the Generation side, we always carry a little bit of excess generation to manage operational risk. So to the extent that our units perform well, we’re going to have more that is exposed to the market. And if you see really high prices, we’ll benefit from that. If our units operate less, we have a buffer to be able to manage that and not be exposed to high power prices. So overall, the goal of the – the goal for us in the summer and for that matter on any season is to continue providing predictable earnings with these complementary and countercyclical businesses of Generation and Retail.
Greg Gordon: Okay. But it sounds like the way that you’ve hedged your book, a volatility event would allow you to run the assets that where you do have length at higher load factors and higher prices. And so they’re – and given that you’re hedged on the Retail side, there actually might be a modest benefit to the overall system performance?
Kirkland Andrews: Yes. Greg, I would say, modest benefit is probably the better way to think about that. And certainly, within that bandwidth of reasonable scenarios, as Mauricio said, it depends on the load that we have not yet locked in and priced, right? We have – there’s two determining factors there. One is the price to the customer of that load and we’re obviously very sensitive to that, because we’re in a business of maintaining our customer base; and two, is the supply cost you realize when you lock that in, right? Obviously, the latter of those two scenarios is going to be driven by the evolution of prices in ERCOT, which on the other side of the equation benefit Generation, but it all depends on where we lock those prices on the Retail side. So I’m painting a picture of a scenario where, yes, you’ll realize some benefit on the length on the Generation side, but some of that may be offset by supply cost in the Retail side. We said, if we decide, it is like [indiscernible] for the long run to maintain discipline in the near-term on price where Retail is concerned.
Chris Moser: And Greg, this is Chris. I would just throw out one thing that is slightly more medium-term than what happens this summer if it’s super volatile. I think in a super volatile summer, you may see some retailers that aren’t as well capitalized or hedged as us that end up shaken loose that, we do have Elizabeth and her team does a great job of buying and moving things into the book. And so that may provide an opportunity for us to grow the retail side, if we do see what you described as super volatile this summer.
Mauricio Gutierrez: And super volatile will also impact next summer or the following summer, which gives us an opportunity to increase our hedges and capture higher gross margins on our generation part of the business.
Greg Gordon: Very detailed answer, guys. Thank you. Have a great morning.
Kirkland Andrews: Thank you.
Mauricio Gutierrez: Thank you. Good talking to you.
Operator: Thank you. And your next question comes from Angie Storozynski from Macquarie. Your line is now open.
Mauricio Gutierrez: Good morning, Angie.
Angie Storozynski: Good morning. On the Retail side, just wondering given the stress moves. Are you still considering third-party M&A on the Retail side? And could it be actually a larger transaction? Thank you.
Mauricio Gutierrez: Yes. Angie, I mean, as you know, we don’t comment on M&A. But we have said that we’ve come a long way on rebalancing our portfolio between Generation and Retail. I feel very good about it, but there’s always an opportunity to perfect it. I have said that before in the past. Our focus right now is, how do we grow our Retail business in the East. We have a really good platform. We have been doing it organically, very successfully. But the way I would characterize the M&A opportunities are probably smaller to medium-size and they’re limited. So we’re going to be very opportunistic and we’re going to be very judicious about where we deploy our capital on the space. And this has to be – they have to be businesses that just complement our existing platform. We already have a platform in the – in Texas. We already have a platform in the East. So this is really a tuck-in transaction for a lack of a better word. So they’re smaller and medium size.
Angie Storozynski: Okay. And then the second question, you mentioned the progress on your buyback plan. When can we hear about the update for the remainder of the year? How much more money you plan to dedicate to buyback?
Mauricio Gutierrez: Yes. So the remaining cash of $872 million. As you all know, we already allocated $1.6 billion, that’s mostly on returning capital to shareholders and to achieve our new credit metric investment type of metric ratios. So I will be in a position to provide that by – in the third quarter earnings call. As I said, this was kind of a unique year, because a lot of our excess cash was front-loaded given the asset sales. And now that the distribution of our earnings have become even more peak here in the summertime. We really need to wait for – the – having that excess cash, I guess, coming through the door before we can allocate it. So you should expect that from us on the third quarter earnings call anytime. So how we’re going to allocate that? We’re going to be consistent with the way we have allocated that on our capital allocation principles. We look at growth and we look at returning capital to shareholders. We have a very clear and transparent way of measuring our – the return hurdles that we have when we allocate for growth, but that’s not sufficient. They also have to be superior to the – I guess, implied return of our own shares that we believe continue to be undervalue. So I think, we’re going to be very consistent in the way that we have approach it in the past.
Angie Storozynski: Thank you.
Mauricio Gutierrez: Thank you, Angie.
Operator: Thank you. And our next question comes from Steve Fleishman from Wolfe Research. Your line is now open. Please go ahead.
Steve Fleishman: Hey, good morning.
Mauricio Gutierrez: Good morning, Steve.
Steve Fleishman: Hi. Just a clarification on the buyback. The $500 – the $400 million that you did with the bank accelerated repurchase, do you know if all that stock actually got bought by now in the market, or is some of that still to be bought?
Kirkland Andrews: No, we know that at the quarter-end and you’ll see this when we file the Q later today. That program was still outstanding, but subsequently to the quarter-end, I think, September and mid-April. The bank completed that accelerated share repurchase program and we’ll deliver the balance of the share, so that program…
Steve Fleishman: Okay. So that’s in your average price of buying and everything that part of it?
Kirkland Andrews: Yes, that’s correct, it’s reflected.
Steve Fleishman: Yes.
Kirkland Andrews: Even at the first quarter-end event, it’s reflected in that. And I I believe on one of those pages in the press release, there’s a footnote that tells you what our shares outstanding are up to the minute and that shares outstanding reflects the complete impact of that first $500 million [indiscernible].
Steve Fleishman: Okay. And just – maybe just a little more color on Texas for this summer. And just I know you brought this plant back, which you did not do last summer. So I assume that suggest it’s even tighter in your view than last summer. Just how – what’s your sense on the risk of major volatility events price spikes or things like that, just any further color for this summer?
Chris Moser: I mean, as you will know a lot more when we get to next week and they come out with the SARA and the CDR, which I think is coming out Wednesday or Thursday of next week on 8th date, that is – that will give us a look. I expect that to show probably negatives in the base case. It doesn’t, okay? But keep in mind that SARA normally doesn’t count the full use of the D.C. tied. It doesn’t count all of the ERS or the private used networks. I mean, there’s a lot of things that are above and beyond the SARA. But it’s going to look pretty bad. I mean, the seven and change reserve margin is going to be awfully tight. Going the other way, Gregory will be in there, so you’ll see a slight uptick from that. But in terms of what we’re seeing so far this summer and so far what we’ve seen this spring, we’ve had some disappointing days, where the expectations were pretty high from a hey load is pretty good and we’ve got a heck of a lot of averages and you do kind of a net load calculation and you’re like wow we’re up in the middle of 70s and prices aren’t doing much. It’s been raining down there at the drought monitor. People start to look at the drought monitor around this time of the year, and we’ll see what that shows. But it’s been relatively wet down there and looking at it. And so forward reading, it looks like we’re leaning towards El Niño, which isn’t particularly bullish. But we’ll have to see and, like I said, we’ll take a look at the SARA when it comes out. But hey, look, at 7.5 reserve margin super tight, but a lot of the other things are going are kind of trending the other direction.
Steve Fleishman: Okay. Thank you.
Kirkland Andrews: Yes, take care.
Mauricio Gutierrez: Thank you, Steve.
Operator:
Operator: Thank you. Your next question comes from Praful Mehta from Citigroup. Your line is now open.
Praful Mehta: Thanks so much. Hi, guys.
Mauricio Gutierrez: Hey, good morning, Praful.
Praful Mehta: Good morning. So maybe first a detailed question on Page 33, where you have your free cash flow for the year – for the quarter. This seems to be a big working capital collateral draw, which has reduced your free cash flow before growth for the quarter. I just want to understand why the $384 million? What’s kind of driving that? And how does that trend down over time?
Kirkland Andrews: That’s basically just collateral postings related to two things. One, the components of collateral postings related to the mark-to-market on our hedges that we put in place. That collateral comes back to us, obviously, as those hedges roll off and realize is the case over the course of the year. And also to some extent, working capital receivables versus payables around the context of the Retail business. I think, this is probably the two primary components of that. I mean, if you follow the company, I know that you have. I mean, the first quarter tends to be our light quarter on a free cash flow basis. This is not unusual at all for us, because even though there’s an EBITDA distribution here, I would say, even the free cash flow is even more acutely biased towards that, kind of third quarter piece of the year.
Praful Mehta: Gotcha. Thanks for that color. And then maybe a little bit on Texas, again. It sounds like while the reserve margin is tight, the other conditions, especially weather and if it’s wet, clearly, it won’t be that beneficial. But as I understand your previous comments, it sounds like most of the benefit that you expect to get out of a tight Texas is more true hedging in the forward curve and the actual event during the summer itself may not be that beneficial, because you don’t have that much Generation open. Is that a fair way to understand how you look at Texas at this point?
Mauricio Gutierrez: I mean, I think that’s fair. If you look even at our hedging disclosures for the balance of the year, we’re 93%, 94% hedged. So, we really have – our excess generation is really going to be with an eye towards managing our operational risk. And – but if there is high prices this summer, it will definitely impact forward years, and that just gives us a really good opportunity, where our portfolio is more open. I mean, if you look at 2020, we’re only 50% hedged and 2021. So it creates an opportunity for hedging in the future and it creates – now there is a modest upside. But again, our goal is to make sure that our platform performs on a number of market conditions.
Praful Mehta: Gotcha. That’s super helpful context. And then finally, just on PJM, with this fast track reform, it sounds like – I just want to get your view on has that had moved yet in terms of is it reflected in the forward curve? Do you see some bullish impact already, or do you expect to see it later down the road? How do you see this fast track reform to actually impact prices?
Chris Moser: I think it’s been – this is Chris. I think it’s been slightly muted by the change between what PJM was asking for and what FERC delivered. And also I think that there was – I think there was a little bit in the forward curve to begin with. I mean, this has been sitting there. We were expecting this to happen in September. So this has been in the forwards for this summer for a while. Will – I don’t know that it’s going to – I don’t expect the curves to run up $3 on this, would be my suggestion.
Praful Mehta: Yes, I mean, that’s exactly. We didn’t see that much move, so I just wanted to get the context, so that’s why I…
Chris Moser: I think it was mostly expected and then slightly disappointed that FERC didn’t do exactly what PJM asked, which was the two hour, instead of a one hour.
Praful Mehta: Gotcha. Well, I really appreciate it, guys. Thank you.
Chris Moser: Thank you.
Mauricio Gutierrez: Thank you, Praful.
Operator: Thank you. We have time for one more question. Our final question comes from Michael Lapides from Goldman Sachs. Your line is now open.
Michael Lapides: Hey, guys, thanks for taking my question. An ERCOT renewable question for you, which is the Q in ERCOT for solar, I think, continues to grow. And obviously, a small percentage of what’s in the Q will likely get built. But how do you think about what – for your base case, like given how big the Q is? What you guys are assuming actually gets built when you think about what the market looks like two, three, four years from now?
Chris Moser: So the is Chris, Mike. I would look and say, I think, we probably shared this in the past that when we look at wind build in the CDR versus what we see wind delivered, it’s been in that 30% to 40% range over the past three years or so. So I would be slightly bearish even to that, because I think that Greg [ph] pretty well supplied with 22 gigs of wind already on the system and the Greg was built for far less than that. When you then talk about solar, I think that we’re going to see some solar coming. I think that Texas needs new build right now, because good load, the peak load is growing at 2,000 megawatts a year. And so we need a bunch of a – a bunch of new build and solar seems like the most likely part of it assuming they can find PPAs for that. So that’s kind of a quick, and then there’s very little gas really. I mean, I think gas is only 10% or 15% of the interconnection queue these days. And like Mauricio mentioned in his initial remarks, I mean, some of the gas that is expected in 2021 has been postponed three or four times already. So that’s a real quick snapshot on it.
Michael Lapides: Yes. And when you think about where the utility scale solar will come, am I right in thinking about it that it will be unlike the wind in West Texas, the utility scale solar has the potential to be a lot closer to the load pockets? I’m just trying to think about what – if we get several gigawatts in the next two to three years of total new installed, how you’re thinking about the impact on kind of future pricing?
Chris Moser: I think that solar sighting is going to be sprinkled across the grid. So as opposed to like a very concentrated approach out in the panhandle that we’ve seen in the wind. I think solar will speckle the landscape a lot more, so to your point, may be closer to some of the load zones. And then impact on pricing, I’ll just leave you with this thought. There’s no unit in the system that’s a $9,000 cost, right? I mean, the prices are administratively set. So whether whether the unit is zero marginal cost like solar or a $30 gas unit, it doesn’t really matter when you get to scarcity. And the – if we need a lot to get to a 10% reserve margin in 2021, and I don’t think a lot of that winds probably going to be there to do that. So I think it’s going to stay tight for a while.
Michael Lapides: Got it. Thank you, guys. Much appreciated.
Chris Moser: You’re welcome, Michael.
Mauricio Gutierrez: Thank you, Michael, and thank you for your interest in NRG, and I look forward to talking to you in the next earnings call or in a roadshow if I see you before that. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program.